Operator: Good day, everyone, and welcome to the Karora Resources Fourth Quarter Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Paul Huet, Chairman and CEO. Please go ahead, sir.
Paul Huet: Thank you, Lynette. Thank you, and hello, everyone. I'd like to welcome everyone to the Karora Resources' fourth quarter conference call. As a reminder, we will be talking to a slide deck. For anyone interested, the slides can be found on the homepage of our website, and you can follow along on the webcast. Before I begin the presentation, I'd like to remind you to please review our cautionary statements regarding forward-looking information and non-IFRS measures, all of which can be found in our news release and our presentation slides. For those on the slides, I'm over to Slide 5 now for the highlights. On the call with me today, I'm joined with Bevan Jones, our Chief Operating Officer for Australia; and Oliver Turner, our Executive Vice President of Corporate Development. We're all here in 10:00 o'clock at night in beautiful Perth. So, I'm lucky to leave the snow in Reno, Nevada where it belongs. Anyhow, 2022 was a record year for Karora. And look, I'm extremely proud to outline some of our achievements. We broke records for many things: gold produced, tonnes mined, ounces sold, revenue, et cetera. What makes 2022 even more impressive is the fact that we rebounded from a very difficult start to the year when COVID-related challenges hit our costs and our productivity very hard during that first half. Look, I remember coming on that initial call, there were times when we had 38% absenteeism that we were dealing with then. So, it's quite a challenge. It is a very positive reflection on our operating team here in Australia that we were able to recover and deliver on our guidance for both production and cost. Before I get into the details, I wanted to share some recent highlights and reflect on some milestones achieved in '22 that have me very excited for the future of our company. Already in '23, we've announced some positive news from our flagship Beta Hunt mine, which is the backbone to our growth. Two weeks ago, we reported completion of the new second decline, completion of the first of three new vent raises, and earlier this year, we reported significant growth to the gold mineral resource and mineral reserves at our flagship Beta Hunt. Look, we're living in a world right now in an environment where capital costs are really exceeding a lot of budgets or timelines are being missed. I can't tell you how happy and proud I am of the team of accomplishing this second decline, getting it done on time, ahead of schedule, and the first raise and at cost. So, hats off to Bevan and the team there. Certainly, in this environment we're in, it's not easily done. We followed up that our announcing to -- or actually we followed up an increase to our nickel resource, all net of mining depletion. I'm also pleased with our strong start to 2023. I'm thrilled with how we are tracking so far with the first quarter. I'm looking forward to making the first quarter call as well. As a reminder, 2022 was a huge year for us, not only operationally, but also with some of the deals we closed, including the acquisition of the Lakewood Mill for A$80 million. This acquisition sets us up for sustained growth for many years to come, while eliminating one of our largest risks, the expansion at the Higginsville mill. That's in our rear-view mirror now, that's behind us. We closed the $80 million credit agreement with Macquarie in 2022, consisting of a $40 million term loan and a $40 million revolving credit, which reduced our interest costs and provides us with additional financial flexibility with the revolving line of credit in place. Given how financial markets and interest rates have changed so much, our timing turned out to be very fortunate. In August of last year, we reported the results from our first-ever nickel PEA at Beta Hunt. That demonstrate the incredible nickel opportunity we have. I believe there's no doubt here, we're just scratching the surface of the nickel potential at Beta Hunt, and that it will prove to be a very important differentiator for the coming years. Finally, something we should all be proud of across the organization is the fact that we achieved carbon neutrality for a second straight year through the retirement of purchased carbon assets. This is an area that is very important to us as an organization, and stay tuned for further progress in this area as we develop and implement our strategy for emissions reductions. Overall, these are certainly some huge milestones accomplished during the past 18 months with more to come. Today, we refreshed our 2023 and '24 guidance for production, costs and CapEx. The changes tighten up ranges and adjust for inflationary cost pressures that have risen since we first issued the original three-year guidance. Look, I think it's almost been two years since we issued that. The main driver of the adjustment to production guidance was our decision to shift the anticipated production startup for the Spargos underground mine from mid-2023 to mid-2024. Following the excellent nickel PEA and expanded nickel resource, we have reallocated some capital to prioritize ramping up nickel production at Beta Hunt, which has the effect of pushing out Spargos underground production into 2025. The high end of our 2024 gold production guidance is only 5% lower than the previous guidance that we had put out a couple of years ago, or 18 months, and still represents a healthy jump in production from 2022. On the all-in sustaining cost front, like others in the industry, we have aligned our 2023 and 2024 guidance ranges to reflect the higher cost environment we are seeing both worldwide and across the mining industry. One thing is certain, we are in a much higher cost environment than we all envisioned in early 2021. However, we do have one key advantage at Karora, the nickel. It's that simple. As we move into 2025 and 2026, we will see the benefits of much higher nickel production as outlined in our PEA, which will positively impact our by-product credit to all-in sustaining cost. This is a unique feature of Beta Hunt and something which has a huge advantage for our shareholders. Before handing the call over to Bevan Jones, I would like to go over some of the financial highlights. I'm over to Slide 6 for those following. This morning, we issued a news release with our unaudited 2022 financial results. Our audited financial statements and MD&A for the period ended December 31, 2022 are expected to be filed on Tuesday, March 28, and will be available on Karora's website and under Karora's profile on SEDAR. Moving over to Slide 6 for the financial highlights. As I outlined at the beginning of the call, 2022 was a strong year for us with record production of 134,000 ounces recovered, coming in at the very high end of our guidance range between 120,000 to 135,000 ounces. All-in sustaining costs for 2022 were US$1,178 per ounce sold, within our guidance range of US$1,100 to US$1,200 per ounce sold. Some key financial metrics for 2022 include: record revenue of $317 million, up 20% or $53 million compared to 2021 due to higher ounces sold; 2022 adjusted earnings were $21 million or $0.13 per share; adjusted EBITDA was $92 million or $0.56 per share; our cash balance was a very healthy $69 million at the end of 2022. Coupled with the Macquarie credit facility that we currently have available, we are in the strongest financial position of our company's history. With that, I'd like to turn the call over to Bevan Jones to take you through some of the operational highlights.
Bevan Jones: Thank you, Paul. Those of you who've heard me present last quarter know I'm very excited about our operating performance in the second half of 2022, and even more so about the prospect of opportunities that lie in front of us. I'm also very passionate and committed to safe production and leading our people to live our Karora values to ensure that everyone goes home to their families after every shift. Now referring to Slide 8. On a consolidated basis, gold production for quarter for 2022 was 37,309 ounces. For the full year 2022, we produced a record 133,887 ounces from 1,925,000 tonnes drilled at an average grade of 2.3 grams per tonne. Consolidated mill recoveries remained strong and consistent at 94%, demonstrating consistent results quarter-after-quarter from our strategy to optimize feed blend from Beta Hunt and Higginsville. As the record tonnes processed in '22 suggests, the addition of the Lakewood Mill provides us with not only -- sorry, provides us not only with the benefit of increasing process and capacity, but also it significantly de-risked our growth plan and gives us more processing flexibility. It is worth noting that the Lakewood Mill is closer to Beta Hunt than the Higginsville plant, which provides us an obvious advantage in terms of transportation costs. Turning over to Slide 9 now. For 2022, at Beta Hunt, we mined a record 1,081,500 tonnes, mainly from the Western Flanks and A Zone areas, in line with the mine plan for the year. 1,084,000 tonnes of Beta Hunt material was milled at an average grade of 2.4 grams a tonne for a production of 79,125 ounces of gold. The recent tonnage records of Beta Hunt give us a high degree confidence that our ability to deliver on our growth plan at Beta Hunt to bring throughput to a rate of 2 million tonnes per annum or slightly better by the end of 2024. Looking at Slide 10, Higginsville mines contributed just under 55,000 ounces of gold production in 2022 from 841,000 tonnes of material, milled at an average grade of 2.18 grams per tonne. In terms of material mined in 2022, the dominant source of ore was Spargos open pit, with contribution early in the year from the Hidden Secret open pit, and towards the end of the year, small contributions from Aquarius and Two Boys underground operation. We're not done mining at Spargos, and we're currently working on the engineering and mine plant to go underground at Spargos by mid-2024. There are some strong grades underground at Spargos and we are very excited by the potential of the operation for several years to come. In February 2023, we announced significant increases net of mining depletions to the Beta Hunt gold mineral resource and to the gold mineral reserve, specifically a 20% increase of the Measured and Indicated Mineral Resource to 1.4 million ounces and a 34% increase to the Inferred Mineral Resource to 1.1 million ounces. We also recorded a 9% increase to the nickel Measured and Indicated Mineral Resource to 21,000 tonnes plus a nickel Inferred Mineral Resource of 13,400 tonnes. The increase in the nickel resources managed from the Beta west area and was a strong reserve being just eight months since the last update in January 2022. I'll hand back to Paul.
Paul Huet: Thanks, Bevan. Lynette, at this point, we'd like to turn the call over for some questions from the people in the audience, please.
Operator: Thank you. [Operator Instructions] We'll move to John Sclodnick from Desjardins. Please go ahead.
John Sclodnick: Yes. Thanks for taking my question, guys. I guess just looking at exploration and I guess starting with Beta Hunt, just curious what the major drilling targets are for this year, and when you expect to complete more nickel drilling?
Paul Huet: Yes. Thanks, John. So, just -- I'll let Bevan talk about where the targets are. I'll just give you some of how much we're going to drill. I think, yes, we're drilling about 62,000 meters at Beta Hunt this year, which is a big, big program for us. And then, about 20,000 meters at Higginsville. But I'll let Bevan respond on the targets. So, Bevan, go ahead.
Bevan Jones: Okay. So, our goal targets at Beta Hunt will be targeting the Mason and Fletcher zones, and some of the Larkin zones. We're following up on some encouraging results we've had in those areas. In terms of nickel, our main focus is the extension to the 50C area, and also, east of Alpha and the 44C block, which is part of the Hunt Block west -- of the Western Flanks area. So, there is some very good targets in those areas and we're expecting some good results.
John Sclodnick: Okay, nice. And I guess outside Beta Hunt, it sounds like you're keen on Spargos. Have you done some more exploration drilling there and at depth? And also, curious about the plan for Sleuth Trend for this year?
Bevan Jones: Yes. So, we've had some excellent results at Spargos. We've drilled four holes, each of them about 700 meters from the surface, targeting 50 meters below the current resource, which we were drilling to find some mineralization at depth. And what we've done is proved out that the mineralization continues below what was known. That drilling was completed in January. The core is looking good. And we're waiting for those results. But it's all lining up to increase the expected [indiscernible] at Spargos.
John Sclodnick: Okay. And any plans for the Sleuth Trend, [indiscernible] there?
Paul Huet: Yes. John, at the moment, we're going to really focus at spending our dollars at Beta Hunt and Spargos, because Spargos will be an underground operation. We know that. So, we won't be spending a lot at Sleuth Trend this year, not at the moment.
John Sclodnick: Okay. Fair enough. And, yes, looking forward to getting down to site and getting some more details on the growth plans there. Thanks.
Paul Huet: Yes, we're looking forward to hosting you guys, John. So, safe travels, and we look forward to seeing you here in a couple of days.
Operator: [Operator Instructions] We'll move to the next caller in the queue, MacGregor Ross with Canaccord Genuity. Your line is open.
MacGregor Ross: Hi, guys. Congrats on the year. Good to see you finish strong. Just one question for me on Beta Hunt. Now that the decline is complete, could you just walk us through what the remaining development milestones are in order for you guys to get the mine fully ramped to 2 million tonnes?
Paul Huet: Yes. So, MacGregor, thanks for the question. Very good question. Look, the infrastructure is -- was very critical. Getting that second decline on track ahead of schedule below budget is very important. We've got the first vent raise completed. There are two more vent raises that must be done in 2023 to get us air to the lower sections of the mine and to give us access south of the Gamma Fault. So, at this stage, those are target to be done during Q2, Q3. And then after those raises are in place, well, then we got to put in some infrastructure to gain access to stopes. So, it's not just put in the two raises. Although you can see from our track record here, we've been quite successful at delivering the infrastructure. So, I'm hoping that we see good success with the last two raises. We then have to put in some infrastructure to gain access to about four stopes. So, Beta Hunt is a very unique mine in the sense that we mine about four stopes a quarter. And you saw what we got last year, we were running at about 100,000 tonnes, all the way up to 110,000 tonnes a month. Pushing -- we did a record of 1.1 million tonnes last year. So, all we want to do is repeat what we've done. We've got to create that landscape so that we have those additional four other stopes, four or five, and giving -- doubling what we have now for [mucking horizons] (ph) and the two other raises. That's about the gist of it, MacGregor. That's a good question.
MacGregor Ross: Perfect. Thanks, Paul. And actually just one more from me as well. Just on toll processing at Lakewood, could you share any sort of guidance around your plans for toll processing in terms of tonnes at the mill this year or next year? Or is that something that's still kind of to be determined?
Paul Huet: Yes, look another good question, MacGregor. Actually, I'm just going to pass that one over to Oliver. Oliver, go ahead.
Oliver Turner: Yes, MacGregor, thanks for the question. And there's -- it's never evolving plan there. With, obviously, the purchase of the Lakewood, we're about 14 months ahead of when we had that -- or planned to have that expanded capacity at Higginsville. So, when we initially took it over, there's very strong tolling demand and interest. But when we started looking at our own stockpile inventory and started running the numbers on it, it actually turned out to be a better economic opportunity for us from a cash flow perspective. So, I'll just take a second here to kind of walk you through that. So, we have a large amount of stockpiles on surface at around Higginsville and Beta Hunt there, that were below the cut-off grade initially for the 1.6 million tonne per annum Higginsville mill that we were operating previously. That material wasn't going to make it through the mill anytime soon as we continue to mine out of Beta Hunt. With this additional capacity, we have those stockpiles on the surface. And so, what that means is, the dollars were already spent to mine that material bring it up the decline and deposit on surface. So, from an actual cash basis, you've spent the dollars to mine those tonnes. What we're now able to do is put those tonnes through and we blend them through at a lower rate with the tonnes that we're currently mining. And of course, keep in mind, as Paul said, every month, Beta Hunt is ramping up the tonnage that's coming out of there. We're able to blend those in and turn those stockpiles, which previously were just sitting there as inventory, turn them into cash and add cash to the balance sheet. Now, we do need to be careful from an accounting perspective. They'll cook because of course there's costs that are carried in those piles from an accounting perspective. But when it comes to cash, they add cash to the balance sheet. So, the second factor there as well, of course, is that those get attributed to our production. So, that's our path forward. On the toll milling front, we do have some small interest here and there. We'll continuously evaluate that for sort of short-term revenue opportunities. But we're actually getting pretty close here. So, by the end of 2023, when we have the ventilation in -- fully in Beta Hunt, we'll really begin that ramp up towards 2 million tonnes per annum and then we'll be filling it entirely with freshwater. So, a blend of stockpiling of toll milling and then, of course, the expansion of the Beta Hunt is kind of the way that we're approaching it. But ultimately, we care about one thing -- on one thing of more than anything else, how can we add the maximum amount of cash to the balance sheet? How can we increase our cash flow from operations? And that's proven to be the case with stockpiles.
MacGregor Ross: Perfect. Thanks for the color, guys. And good luck this year.
Paul Huet: Yes, I appreciate that. Thanks, MacGregor.
Oliver Turner: Thank you.
Operator: This does conclude the Q&A portion of today's conference. I'd like to turn the call back over to Mr. Huet for any additional or closing comments.
Paul Huet: Hi, everyone. I just want to thank each and every one of you for taking the time to join us on our earnings call. We know people are quite busy, and just want to say safe travels to a lot of the people that are going to be joining us here. There's -- we're hosting our first ever analyst site visit and there's quite a few analysts coming over, flying into Australia, to spend several days with us, Bevan and the team here. So, we're quite happy to show everyone the progress that we've had over the last several years. And have a great day, and thank you very much everyone. All the best.
Operator: That does conclude today's teleconference. We thank you all for your participation.